Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 2019 First Quarter Earnings Conference Call for Clear Channel Outdoor Holdings, Inc. At this time, all participant lines are in a listen-only mode. Later there will be an opportunity for your questions. Instructions will be given at that time. As a reminder, this conference is being recorded. I'll now turn the conference over to your host Eileen McLaughlin, Vice President, Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning. And thank you for joining Clear Channel Outdoor Holdings 2019 first quarter earnings call. On the call today are Rich Bressler, Chief Financial Officer, and Brian Coleman, Senior Vice President and Treasurer. In addition, William Eccleshare, Chairman and CEO, Clear Channel International, and Scott Wells, CEO, Clear Channel Outdoor Americas are on the call. We'll provide an overview of the 2019 first quarter operating performance of Clear Channel Outdoor Holdings Inc., and Clear Channel International B.V. After an introduction and a review of the quarter, we'll open up the line for questions. Please note that we will not be able to answer any questions on iHeartMedia's operations or its bankruptcy process. Before we begin, I'd like to remind everyone that this conference call includes forward-looking statements. These statements include management's expectations, beliefs and projections about performance and represent management's current beliefs. There can be no assurance that management's expectations, beliefs, or projections will be achieved, or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press releases and filings with the SEC. Pacing data will also be mentioned during the call. For those of you not familiar with pacing data, it reflects orders booked at a specific date versus the comparable date in the prior period and may not reflect the actual revenue growth rate at the end of the period. During today's call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and earnings conference call presentation, which can be found on the Investors section of our website, www.clearchanneloutdoor.com. Please note that our earnings release and the slide presentation are available on our website, www.clearchanneloutdoor.com, and are integral to our earnings conference call. They provide a detailed breakdown of foreign exchange and non-cash compensation expense items, as well as segment revenues, operating income, and OIBDAN among other important information. For that reason, we ask that you view each slide as Rich comments on it. Also, please note that the information provided on this call speaks only to management's use as of today, April 25th, 2019, and may no longer be accurate at the time of replay. With that, I will now turn the call over to Rich Bressler.
Richard Bressler: Thank you, Eileen. Good morning, everybody. Thanks for joining Clear Channel Outdoor's first quarter 2019 earnings call. Before I speak about the company's results, I want to update on iHeartMedia' restructuring process and the separation of Clear Channel Outdoor. As you may have seen, iHeartMedia expects to emerge from Chapter 11 on May 1st. The company's plan of reorganization has been approved and recently filed an S-1 registration statement with the SEC. Bob and I are both excited about the opportunities ahead for iHeartMedia. As in previous quarters, we will not host an earnings conference call for iHeartMedia until the restructuring process has been completed. Meanwhile, the Clear Channel Outdoor team has been diligently working to prepare for the separation. And with the new executive team in place, along with the incoming Board of Directors, they are well positioned to capitalize on the strength of the out-of-home industry. Of course, when the separation happens, I will no longer be part of Clear Channel Outdoor. So, today is my last quarter presenting their results. It has been my privilege to serve as the company's CFO, and I'd like to thank everyone at the organization for their hard work and commitment to excellence. Thanks to their efforts, Clear Channel Outdoor has established itself as a market leader. And I believe the company is on a path for continued growth and innovation. On today's call, I'm very happy to be joined by William Eccleshare, who, as you know, is currently Chairman and CEO of Clear Channel International and, post separation, will also lead the company as CEO of Clear Channel Outdoor Holdings. CFO, Brian Coleman, who many of you know; and Americas CEO, Scott Wells, are also on today's call. The continuity of William's strong leadership and his talented team will be a great benefit to the company. Additionally, this team will have the guidance of a new Board of Directors, which includes some of the top leaders in advertising, media, telecom, technology and financial service. We can now move on to more detail for the quarter. Please turn to page four to review the first quarter highlights. During our GAAP results discussion, I'll also talk about our results adjusting for foreign exchange. We believe this improves the comparability of our results to the prior year. I'll refer to these results as adjusted revenues and adjusted OIBDAN, and I'll refer to direct operating and SG&A expenses as adjusted expenses. In the first quarter, consolidated revenue declined 1.9% to $587.1 million. Adjusted consolidated revenue was up 2.2%, with growth in our Americas segment. Consolidated operating income was $9.1 million as compared to a loss in the prior year. The improvement is due to revenue growth in our Americas business and lower depreciation and amortization. Adjusted consolidated OIBDAN increased 18.8% to $90.7 million, with growth in Americas. International was flat. Moving on to slide 5, I will discuss the Americas results in more detail. During the first quarter, revenue increased 6.6% to $272.7 million. This continued the momentum we saw in the fourth quarter, with growth across all channels and across our major markets in the US. Digital revenue was up in both new deployments and organic. Local continues to be strong and national was up again this quarter. Airports rebounded from the first quarter of 2018 and were up as well. Expenses were up 4.8%. Direct operating expenses increased 4.5%, in large part due to higher site lease expenses, primarily from higher revenues. SGA expenses were up 5.5%, driven by higher variable compensation, including commissions. Operating income was up 36.1% due to revenue growth and lower depreciation and amortization. OIBDAN increased 10.4%. The increase in margins is due to revenue and mix. Our pacing for the second quarter of 2019 was up 8.6% as of last week. Turning to slide 6 for our international business. In the first quarter, reported revenue was down 8.2% to $314.4 million. Adjusting for foreign exchange, revenue declined 1%. The decline in revenue is primarily due to the loss of contracts, most notably in Italy, where the Rome Airport contract was not renewed, and in Barcelona with the conclusion of our bike contract. Sweden continues to deliver double-digit revenue growth, generated by new digital inventory and strong market conditions. And our largest markets, both France and the UK, were up. And China was flat. As we stated last quarter, there continues to be economic uncertainty in China, resulting in softness in the advertising market, with certain advertisers becoming conservative with their spend. Expenses were down 8.3%. Adjusted expenses declined 1.1%, with both direct operating expenses and SG&A contributing to the decline. The decrease in direct expenses is attributed to lower site lease expenses in countries with low revenue, including Italy, partially offset by site lease expenses related to new contracts. The operating loss of $8.8 million was an improvement over the prior year's first quarter loss of $10.9 million. Adjusted OIBDAN of $27.7 million was flat compared to the prior year. Pacing for the second quarter of 2019 was down 4.8% as of last week. Before we go on to the rest of the slides, I'd like to make a few comments on CCIBV's results. For the first quarter, CCIBV's consolidated revenue totaled $243.9 million, a decrease of $22.6 million from the prior year. On an adjusted basis, CCIBV's revenue decreased $2.6 million during the first quarter. CCIBV reported operating loss of $13 million in the first quarter compared to an operating loss of $15.1 million in the same quarter in 2018. Please turn to slide 7. Capital expenditures totaled $28.2 million for the quarter ended March 31st. Our capital expenditures were primarily for the conversion of digital boards in Americas, and the deployment of street furniture in transit, including digital displays in International. Now, turn to slide 8. Clear Channel Outdoor's consolidated cash and equivalents totaled $170.5 million as of March 31st, 2019. The balance includes $148.2 million of cash held outside the US by our subsidiaries. As mentioned on our last earnings call, in February 2019, we issued $2.235 billion, an aggregate principal amount of 9.25% senior subordinated notes due in 2024. We used the proceeds from these notes to redeem our outstanding Series A and Series B senior subordinated notes due in 2020 and to pay fees and expenses related to the offering and the redemption. Due to this refinancing, our total debt of $5.3 billion was up slightly over the prior year. The weighted average cost of debt was 7.8% for the first quarter. And during the quarter, cash interest payments were $102.6 million. This is higher than the prior year due to timing of the interest payments on the debt we refinanced in February. Our senior leverage ratio was 4.4 times, with consolidated leverage at 8.6 times. We expect cash paid for interest in 2019 to be approximately $347 million. Before taking questions, I want to thank you again for being with us this morning. Since I joined the company more than five years ago, it has been remarkable to see the rise of the outdoor industry firsthand as it has evolved to fit into today's digital world. Our performance, both this quarter and in recent years, is a direct result of our global, consumer-focused transformation strategy. We are leveraging digital technologies to drive a culture of innovation and accelerate digital growth across the organization. As we approach Clear Channel Outdoor separation from iHeartMedia, the company is in excellent position to continue these initiatives. We believe the future is bright for Clear Channel Outdoor. Before we open the line for questions on Clear Channel Outdoor, I would like to remind you that I'll not be able to answer any questions on iHeart's operations and the bankruptcy process. William and Scott are here with us today to answer questions about Clear Channel Outdoor's operations, and of course, Brian and I are available for questions as well. Operator, we can take the first question now.
Operator: [Operator Instructions]. And the first question is from the line of Avi Steiner with J.P. Morgan. Please go ahead.
Avi Steiner: Thank you and good morning. I have a couple here. First, could you give us, given how close we are to the separation date, maybe more color on how to think of CCO's expense base as a separate company outside of iHeart's ownership?
Brian Coleman: Sure, Avi. It's Brian. Well, look, I think you shouldn't expect material changes in the company's expense base related to the separation. We are working under certain transition services arrangements post separation. A lot of the work that was done by iHeart on behalf of Outdoor will be replicated to Outdoor. There will be some one-time standup costs that were incurred kind of to stand up to the organization with respect to the corporate structure that will need to be replicated because it was -- that work was done by iHeart. But, largely, our goal is to, on an ongoing basis post stand-up, run the business at or more efficiently than we could under the TSA. Now, there's a lot of work to be done. And until you actually get it stood up and get it running, you never know what you're looking at, but that's what we're budgeting for, that's what we're planning for, and that's what we're staffing for. So, other than some stand-up costs in the beginning, our hope is you wouldn't see any material increase and, hopefully, there's some opportunity with respect to those expenses.
Avi Steiner: Great. And it's clear that the team is working hard into the separation. Post-separation, apart from continuing to run the business and some of the comments you've just made around the expense base, is there a way to frame maybe management's top priorities going forward, whether it's a 100-day plan or something beyond that? Thanks.
William Eccleshare: Okay. I'll take that. And thank you for the question. I don't think you should expect a sudden or dramatic change in strategy for the business post-separation. We feel we've had a very clear strategy in terms of our investments in digital and in technology beyond that. And that will absolutely continue. I think as a fully-focused, pure-play outdoor business, it's going to enable us to perhaps concentrate a little more than we have been able to in the past on some areas of investment. I think we have demonstrated, over the last few years, that we can be and have become true differentiators in delivering tech-fueled transformation over the outdoor business. And I would say the whole management team absolutely believes that the business has more than enough value-creating opportunities to continue to drive the organic growth that you've seen recently. So, I think we feel that we have a very clear strategy which will continue post-separation.
Avi Steiner: Very much appreciate those comments. And I will end it on this question. And thank everyone for the time before I ask the question. Rich, looking forward to talking to you on the radio side. But my last CCO question, if I can, given the separation and all the comments that have been made so far, does management and the board perhaps have a clear line of sight to reducing leverage and maybe how do you think of the opportunity set to get there? And again, thank you all for the time and the questions.
Scott Wells: Thanks, Avi. I think I have a partial response to that. And that is, from the beginning and I'll go back to the incoming Board making the statement that addressing the capital structure, including reducing leverage, was a top priority. So, we've continued to work with the incoming board, with the incoming management on looking at what opportunities exist, knowing that that's going to be a focus. Now, the incoming board is not the current Board and the incoming management is not yet the current management, or at least some of us aren't. But it is a priority. And as we look at what plans we have, we do feel we have tools in the kit, so to speak, to address the leverage and want to discuss those opportunities. And we'll be implementing some of those opportunities. Those tools exist in number of things. They are operational. It's what William talked about, digitization in the portfolio and automation and programmatic initiatives, leveraging fixed cost assets. I had mentioned a little bit, perhaps there is corporate overhead efficiencies. So, there is operational opportunity. Then there's strategic opportunities. We've talked before, particularly on the roadshow for the subordinated notes, tuck-in and transformational acquisitions, asset sales, asset purchases, portfolio optimization and, of course, balance sheet opportunities. Is there an opportunity to refinance at lower rates? Is there a need or an opportunity to potentially issue equity or some kind of equity-linked instrument? I think all these things are in our toolkit and things that we look forward to and they're all underpinned by a strong underlying business that gives us the opportunity to have such an array of tools at our disposal.
Avi Steiner: I will leave it at that. Thank you, everyone, for the time.
Scott Wells: Thank you.
Richard Bressler: Thanks, Avi.
Operator: Next, we go to the line of Aaron Watts with Deutsche Bank. Please go ahead.
Aaron Watts: Hi, everyone. Thanks for having me on. Rich, I know you're going to miss giving pacings guidance for Outdoor, but you have audio pacings to look forward to right?
Richard Bressler: I am tearing up as you said that.
Aaron Watts: Yeah. I wanted to ask a broad question first on the industry and you specifically. Really strong outlook again for 2Q in the Americas. Latest thoughts on what is driving some of the best performance we've seen in years? What's different today than in the past? Is it your specific initiatives you're pushing? Is it share-shifting away from other local media? Just curious why you think this growth is sustainable and what's the main drivers of it.
Scott Wells: Hi, Aaron. It's Scott here. I'll take a crack at this for the group. When you look at the outlook for the business, we are enjoying a very strong market right now, and that's driven by a lot of trends that there's been a lot of discussion on over the last several years in terms of the digitization of our portfolios. This is not just Clear Channel, but it's the industry, additional inventory and building the case for proving that the medium works. And those are things that there are initiatives going on broadly. And I think advertisers are, particularly at this moment in time, seeing the benefit of our medium. So, all the stuff that we're doing is happening against a good market position. I think the other part of it is that you're seeing our initiatives that we've been talking about these last many quarters, it's probably been several years at this point, starting to come together and get traction. And so, specific to Clear Channel Outdoor, we were an early mover in digitization of the portfolio. We were an early mover in terms of making a suite of tools around planning and attribution. We were very aggressive about building direct-to-client outreach and we were an early mover in programmatic. And each one of those initiatives have materially contributed to the growth that you're seeing right now. So, it's a good market and we're executing well would be the very simple answer to that.
Richard Bressler: And I'd add just one – maybe an overall comment to that, which I think might help with some context even above Clear Channel Outdoor in the US. It's Rich. One of the things, and you saw it again, I think, yesterday with P&G's earnings, is that they – with the challenges that are faced by the television industry today in terms of declining viewership and fragmented viewership and distracted viewership and the challenges facing the digital industry in terms of everything from being expensive to client safety to everything else we know that's out there, and over-targeting, I think all what you've thought about as a traditional medium – and by the way, you saw it again yesterday with P&G and their comments. I think they had their highest profit in eight years. And over the last three, four months, Marc Pritchard has been very public talking about this shift, of a reallocation of media mix and dollars into both the outdoor business and into the radio business in terms of their total media mix and saving some money on the bottom line. So, I would say, whether you're on the outdoor side or the radio side, we're all benefiting from this overall shift in people's view of mix models.
Aaron Watts: That's certainly a positive theme there. My other question, more of a focus on the international side of the business, recognizing that pacings are just a snapshot for right now, but anything you'd call out on the slowdown on the international side as you look into 2Q? And maybe somewhat related to that, the contracts that weren't renewed in Italy and Spain, remind us how long those are going to be a drag on results as we look through 2019? And maybe you can comment on whether those contracts were accretive or dilutive to overall international margins?
William Eccleshare: Okay. Yeah. Thank you for that. Well, to repeat a phrase that Rich has often used in the past, pacings are just a moment in time metric. And I think that is particularly true if you look at the position for International right now. You will have seen the trading update from Clear Media, our China subsidiary joint venture, which talked about Q1 showing flat revenue and, Q2, they talked about soft revenue, though I think it would be fair to assume that there is some pacing weakness in China at the moment, which is having an effect on the overall International pacing number. I think, across Europe, it's safe to say that we have some pretty strong performances, particularly in the UK, Sweden and France, which are major markets for us across the European division of the business. So, I think that's probably all I should want to say on the pacing situation. I suppose I could also add that, for China, particularly, it's a very – increasingly a late booking market and the pacing data, even more than in other markets, is perhaps not the best indicator of final performance. On your question about Italy and Spain, those comparatives will run through 2019. In the case of Italy, this was the Rome Airport contract, which we chose not to renew, and it's been taken back in-house by the Rome Airport Authority. And in Spain, that was the Barcelona bike contract, which is a non-strategic, non-advertising contract for us. So, in both cases, these were contracts that we felt were non-strategic for us going forward and they will not – in neither case would they have a material impact on our margin.
Aaron Watts: Great. Appreciate the time. Thank you.
Operator: Next we go to the line of Stephan Bisson with Wolfe Research. Please go ahead.
Stephan Bisson: Good morning. Just a couple questions from me. First, do you have any plans on how many digital boards you'd want to put out in 2019?
William Eccleshare: I think all I would say, without giving kind of specific guidance on that point is, we will continue with the rollout that we have and at the kind of rates that we have had in the past and we will continue with the rollout plans that we've had. So, I don't see any material change in the digital rollout programs, either in the US or in the international markets.
Stephan Bisson: Great. And then just digging in a bit more to the US pacings or Americas pacings because they are so strong, is there particular categories that are coming through more? I know, in the past, OUTFRONT has kind of labeled things like Apple and high tech as being big consumers of their media, as well as maybe a national versus local type. Is it stronger in one than the other?
Scott Wells: Yes. It's Scott here again. I'll take that one. There's a couple of things that I'd call out. There's no question that technology and entertainment are really strong categories in the US right now and, particularly, those of us with more urban footprints are enjoying the benefits of that. Banking and financial services has been very strong. Business services is really strong. You're really seeing, at a category level, a pretty broad base of strength and not any categories right now that are really falling dramatically. That's a balance that is a good balance, obviously, for us right now. From a product category perspective, we had a pretty balanced quarter. We were very strong in airports, but really both printed and digital performed really well. We had good performance in organic as well as new developments. So, it was a balanced performance overall.
Stephan Bisson: Great. And I know that auto isn't a huge part of your book, but how did that trend, I guess, during the quarter and in Q2 so far?
Scott Wells: Yeah. Auto was flattish. We were really not – it was not a – it was one of those categories that I'd characterize as, they were in the marketplace, not falling off a cliff, but not particularly strong either.
Stephan Bisson: Great. And then, lastly, I think there are some transit contracts coming up in the US. And I am not as well versed in the international transit. But are there any contracts that you guys are interested in looking at in particular, either in the US or internationally?
William Eccleshare: I don't think we want to disclose any particular contract that we're looking at. As you know, we constantly monitor anything that is coming up and take our decision as to whether we will go after any new contracts, but we wouldn't want to give any indication of what we might specifically be looking at this time.
Stephan Bisson: Great. Thanks so much.
Scott Wells: Thanks.
Operator: Next, we go to the line of Lance Vitanza with Cowen. Please go ahead.
Lance Vitanza: Hi. Thanks, guys. A couple of questions here. The first is on the expense side. Could you talk a little bit about the trends in site lease expense in particular? And to the extent that you're seeing any kind of general upward pressure, what levers do you have to tamp down on that pressure or is the strategy to simply pass incremental expense on to advertisers via higher rates?
Brian Coleman: So, site lease is an expense that we're working all the time. And it flows through in a few different ways. We have contracts that are fixed. We have contracts that are variable and the variable ones then are tied to revenue performance and those tend to correlate with the city contracts or airport contracts that we might have. It's our number one expense category. We focus on it a great deal. We have expense reduction targets for it every year, but it is subject to the dynamics that you would expect in terms of, as the economy is strong, landlords are aggressive in seeking increases. So, I just tell you that we're focused on it. A lot of the movement that you see in our business is driven by what our revenue mix looks like in a given quarter. And so, in Q1, we had a strong airports quarter in the US and airports tend to be percentage leases. And so, that will cause the site lease to pop up a little bit in the mix, but that is something that does vary a fair bit quarter-to-quarter.
Lance Vitanza: Great, okay. Can we talk a little bit more in detail about the outlook for strategic transactions post-separation? I know that there's been a tremendous amount of M&A over the past year or so. I don't know if perhaps you're seeing signs of that abating. But should we think about it – and I know you mentioned briefly opportunities to swap and move in and out of markets. But, more generally, do you see yourselves as an acquirer? Are there markets that you'd like to become more dense in or get into where you're not? How should we be thinking about those types of opportunities?
William Eccleshare: I think I would say it's something that we look at all the time. We look at opportunities to acquire, to consolidate across the global footprint that we have, and it's something that we keep under constant review. I don't think there's any specific change that I would point to. And there is consolidation going on in the market, both in the US and in international. We have seen significant consolidation at the end of last year in the UK. But I don't think there's anything specific or different that I would call out that we're looking at.
Lance Vitanza: Well, the history, right, would be, as you were tethered to the struggling radio business, there were a number of asset sales and divestitures. Now that you're getting separation, are you saying that there's not going to be any change and that we should continue to expect additional non-core asset sales around the edges or might there be opportunities, I guess, for you to participate as a buyer?
William Eccleshare: I think Brian covered that in his opening response to the question. Do you want to say anymore on that, Brian?
Brian Coleman: I think, Lance, the world is open for us and we could be buyers and look at tuck-in acquisitions, we could look at expanding in certain markets, expanding our footprint, but we also, as fiduciaries of the company, will look at opportunities to monetize assets if there are potential buyers out there that are willing to offer more than we think the assets are worth. So, I think that the world is open. And we're going to run our businesses and run them as efficiently as we can, but we'll also consider opportunities to buy assets and opportunities to sell assets as any company would do.
Lance Vitanza: Thanks. And what about the opportunity? Is there an opportunity, I guess, to perhaps put the US assets into a restructure? I know that prior to the separation that never really made sense. Does that change given – or does your taxpayer status and NOLs continue to make that somewhat less interesting to you?
Brian Coleman: Well – so, historically, we've had a large amount of NOLs. And so, that was one reason why a REIT wasn't meaningful to us. That's no longer the situation. I think that our view is the emergence and separation will reduce our NOLs or eliminate our NOLs. And so, that obstacle, so to speak, or that reason why a REIT wouldn't be as effective for us as others goes away. We, Outdoor, would become a cash taxpayer, and so a REIT becomes a little more interesting. Now, there are other things that the company needs to address, but the option to convert to a REIT was preserved by the way this separation occurs. So, that option is available to us. And the benefit of a REIT with respect to the tax advantages exist for us where they didn't exist before. So, I can say that. And management will look at that option and decide how it wants to navigate the remaining issues, our asset mix, our leverage, the other things – our debt agreements, the other things that will have to be addressed on a path to REITing the US business. So, there's a lot of work to do, but that option exists and we'll continue to look at that option.
Lance Vitanza: Thanks very much guys. Good luck.
Operator: And our final question is from the line of David Phipps with Citi. Please go ahead. 
Richard Bressler: Thanks, David. Operator, this will be our last question.
David Phipps: Thanks. And, Rich, congratulations and look forward to working with you in the next radio event. And what a way to go out with, such a strong quarter and solid outlook.
Richard Bressler: Thanks.
David Phipps: So, when we look at the pacings, I was going back and looking at – and they are a point in time and I get all that stuff, but by far the Americas pacings were the highest and it seems that the mix there is that you have digital boards, you have the easiest access and the market has kind of come to you in the US. So, it seems like that the pacing, although it's one point in time, seems pretty sustainable. On the International pacings, you called out, and that was also, I believe, the worst in my six years of covering, the negative 4.8%, but the late booking market from China, which is certainly important, is one of the components. So, I don't know if that's a – it is a pacing number. And just kind of triangulate a little bit more. On the Italy and Spain contracts that were lost, you said it wouldn't impact profitability, but is that much of an impact on your pacings? So, when I put the International pacings together, can you give me some puts and takes? It sounds like you think that – or indicated that that might be a little – it should be a little bit less negative than that number was. And if we look at prior quarter, that was the case too.
William Eccleshare: Yeah. I think, in a sense, you've answered your own question. I think that I would concur with your conclusion there. As I said earlier, China is a very significant part of our business, as you know, across the International division. We announced on Tuesday a softness in – that Q1 was flat and the softness in Q2. And if you put those two factors together, I think you could see why the overall pacing for International comes in as low as it does. And I don't really want to say any more than that other than what I had said before that, across Europe, we're seeing some real strength in some of the larger European markets that we operate in.
David Phipps: And then second, on the corporate expense side, that's certainly a big reset level and you cited some of the royalty payments, but it also showed up in margins on the Outdoor business. So, should we think of the corporate expenses as – is this a more of a run rate level, sort of as we reset corporate expenses by that amount lower? Is that fair to think about them or was there anything unusual with the first quarter corporate expenses versus a year ago?
Richard Bressler: If I understood the question correctly, you're asking to compare the first quarter corporate expenses to the previous year's quarter. And the main difference – they're much lower. The main difference is the royalty fee allocation didn't occur in this quarter and it did occur in the same quarter of the prior year.
David Phipps: Okay. So, that would seem to be a carryforward. And then, just as – you didn't talk about how many new digital billboards you installed during the quarter or the total number of digital billboards that you have a percent of revenue that's additional. Do you have any updates for that?
William Eccleshare: I don't think there's anything significantly different from what we've talked about in the past. We are looking at what we disclosed going forward around digital. So, we will be considering what more we can say on future calls around digital. Scott, you want to add anything on the US situation?
Scott Wells: Yeah. I do think we typically do give the number of builds in quarter and it was 14 units that we installed in the first quarter of 2019.
David Phipps: And how about digital displays?
Scott Wells: You're talking about our digital displays internationally? William, do you want to handle that?
William Eccleshare: I am sorry. Yeah. I think, in Q1, we would say 288 installations in International in Q1. So, the run rate is pretty consistent with what we were doing last year as well.
David Phipps: Okay, fair enough. All right. Those are my questions. Thank you for the time.
William Eccleshare: Okay. Thank you. Well, that was the last question. Thank you everyone for your attention and your questions. We appreciate your interest in the business. As I said, we will be looking at how we handle these calls going forward once we are fully independent following separation next week. And so, we very much look forward to our next earnings call after the Q2 results. Thank you very much indeed.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.